Philippe Berterottiere: Good morning, ladies and gentlemen. I thank you very much to join us for this presentation of the GTT Half 1 2025 results. In fact, GTT delivered very strong financial performance during these first 6 months. Let's look at that. The energy demand -- the LNG demand is remaining very strong as evidenced by 4 financial investment decisions already taken. Another key point is that we've acquired Danelec in May. Also, and we are going to talk about it, we are restructuring of Elogen, and it's largely done. Our revenue have increased by 32% compared to the first 6 months of GTT last year, and our EBITDA has increased by 49%, and we have an EBITDA margin of 68%. That shows that we did not lose our lean and fit approach to cost and management. The order book is very strong and is supporting a long-term visibility. We have 280 LNG carriers to deliver. And we have 54 LNG as a fuel tanks to deliver in which is more important than one we had in December 2024. I will leave the floor now to Thierry Valot who is VP Innovation -- Group VP Innovation.
Thierry Valot: As highlighted earlier this year in our innovation road map, we remain committed to driving innovation across all fronts, enhancing our core technologies, developing maritime digitalization, enabling energy transition and preparing the solutions for the future. But let me give you a few tangible results from this first half. We obtained 3 Approvals in Principle from leading classification societies, each reinforcing our leadership in our strategic markets. First, Bureau Veritas approved our ethane Slim version of our Mark III and NO96 technologies. This creates a specific version of our membrane technologies for the ethane carriers with additional benefits in terms of cost, in terms of volume and also in terms of time line. Then we got the approval from DNV from our 1 barg membrane design. This is for LNG as a fuel technology. It enables -- it gives a higher flexibility for ship owners or the ship operators giving them some flexibility on preparing them for the future cold ironing regulations and also giving them more flexibility for 1 bunkering. Finally, Lloyd's Register approved our ammonia ready mark for Mark III technology for both LNG as a fuel LNG carriers, ethane carriers and bunkering vessels. This gives additional flexibility for ship owners and preparing the energy foundation. Each of these improvements reflect our ability to use our technological expertise to create practical value for ship owners. But our innovation efforts go beyond our internal R&D. Through GTT's strategic venture, we support the development of disruptive technology with a strong potential for energy transition. Our most recent investment in CorPower Ocean. CorPower Ocean is Swedish pioneer in wave energy transition. You can see on the picture the first scale 1 prototype of this [indiscernible]. This technology proved its capacity to generate consistent power in normal condition, and at the same time, to resist the harshest weather conditions up to waves over 18 meters high. Following this -- so this has qualified this technology for the future. By backing CorPower and the 8 other ventures in which we have invested since the creation of our venture capital body, we are actively contributing to the emergence of alternative sustainable energy sources. These partnerships enable us to explore adjacent technologies to our core technologies. They give us strategic insights and they also give us some potential -- access to potential additional capabilities for our long-term road map. To sum up, our approach is both focused and open, enhancing our core technologies, preparing the solution for the future and broadening our reach through strategic venture. With that, I hand it back to Philippe.
Philippe Berterottiere: Thank you, Thierry. So let's look at our strategy and activity. And first of all, let's look at the situation of the market, of the LNG market. We can see supportive trends in complex geopolitical context. We have very strong tailwinds supporting the industry. There is a U.S. LNG momentum, which is strengthening the perspectives. And the new American administration has stopped the pause put on LNG projects as soon as the 20th of January. And we saw several FIDs in the U.S. representing tens of million tons of LNG per annum. There are also some headwinds in the near term. First, the geopolitical tensions that we know in the Middle East and also in Asia and in Europe. And there are also tariffs and taxes, and new American administration has installed tax on Chinese-built ships whenever they are calling American harbors. In this situation, the owners are a little bit perplexed on where they should buy ships. Chinese ships are [ taxed ]. They are driven to buy American build ships, which is not really in the competencies of American shipyards, and current ships are enjoying a very strong position in this situation and are not particularly accommodating lower prices than those they were offering. So ship owners that we are meeting on a very regular basis, are assessing the timing of ordering. I mean, these strong long-term fundamentals, we could add the European, U.S. agreement last weekend on that. We could add many things, but for exporting LNG, you need ships. So let's see what it means for us. Another way to look at this strong tailwind is to see the expectations from LNG companies or agencies or consultants on the LNG demand. And since we gathered together last February their expectations have increased. And for example, the central scenario for demand of LNG up to 2040 is at an average growth of 6% per year. Shell as the largest LNG industrial company in the world has increased its long-term perspectives. We can see that also through the sale and purchase agreement of LNG, sales and purchase agreements that the agreement buyers are passing with LNG providers. And we can see that in the second quarter of 2025, there was a very strong activity both for pre-FID projects in the U.S. for pre- FID projects elsewhere and for post-FID projects. We can see that this activity has never been so high in the past, which is clearly highlighting that something is going on in the LNG business. And that should build our confidence for the future and, in particular, for future FID announcements when we see all the pre-FID contracts. Talking about the FID, we can see that this first part of this year has been very, very strong. You can see on this graph that 2023 was very strong with 56 million tons per annum decided, and in this first part of this year, we are already at 38 million tons per annum. So well on our way to possibly beat year 2023. It's mainly U.S. projects, which are there, and there is another one in the Americas in Argentina to be specific. Well, the list of the projects. On top of the list, you can see the projects which have been decided since the beginning of this year. And below, you can see the projects which are in the things. And we analyze them. For us, some should be decided by the end of this year or next year. But there is a lot of activity for new LNG projects. Another strong factor. And we keep on talking to you about that. It's regulations. The International Maritime Organization has passed a new regulation which creates a strong renewal incentive. In fact, it's a regulation which is largely mimicking the European regulations on taxing the emissions of ships and on incentivizing owners to switch to biofuel, bio LNG or e-fuel, e-LNG. And you can see that on this graph, that ships are going to be significantly taxed. And compared to what was in place before, there is a category of ships, the DFDE ships built a bit before 2010 a bit after, but which are not that old, which are going to be significantly taxed as they have important emissions. On the right-hand side of the slide, you can see the scrapping and conversions, which have -- which are taking place, and you can see that in this first half of this year, the number of scrapping and conversions has been almost equal to what has happened last year. So definitely, this renewal is on the move, is coming, and all the indicators are confirming that. This new regulation, we consider that it should impact as soon as 2028, 350 ships. So of course, owners are going to pay the taxes, are not going to stop operating this 350 ships. But these taxes will keep on growing, and the incentive for renewing ships will be increasing. So once a year in February, we publish our long-term estimates, we don't modify them. So we are not going to modify them, but we are maintaining our long-term estimates for 450 units over the next 10 years, as far as the energy carriers are concerned. Well, I would like to talk to you about LNG as a fuel. As we are saying for many years, LNG is more and more the fuel of choice for shipping. And many ships are ordered currently with LNG as a fuel. We are receiving some. We received 18 orders since the beginning of this year. We have a market share of about 25%. We are trying, we are fighting, we are struggling to enlarge this market share both through commercial efforts and also through technological efforts. And Thierry Valot explained to you a bit earlier, the 1 barg interest for the ship owners. Now I will give the floor -- I will pass the floor to Anouar Kiassi, VP Digital, who is going to present to you our digital solutions.
Antoine Kiassi: Thank you, Philippe. Good morning, ladies and gentlemen. So for the H1 2025, we have achieved a revenue of EUR 9.3 million, representing a steady growth year-over-year of 36% and compared to last year, which was 6.1%. And most importantly, our gross margin has significantly improved from 48% to 57% in which is an improvement of 9 points. So in order to illustrate the dense digital activity we have witnessed during the first part of the year, we selected 3 key events. Please keep in mind that we don't communicate all the contracts and the events that happen in this activity because our customers are shy in communication. But of course, there's more than that to achieve the revenue we announced today. So going back to this key event. We expanded our fleet center or real-time fleet performance monitoring center in Vancouver to offer a 24/7 service to our customers. The second event is the very important signature with TMS, which is a very important Greek ship owner with a fleet of over 130 ships of all kinds. That is also a testimony of the value proposition that GTT offers through the combination of Ascenz Marorka and VPS that is very well welcomed by the market. The last example we have here is the signature of this contract with China Merchants Energy shipping for 8 LNG carriers, and that is also an example of the trust that these players place in GTT and its LNG expertise in LNG and that Ascenz Marorka conveys through our digital solutions. We have announced the acquisition of Danelec earlier this year, and it is a very important, I would say, even transformational acquisition as it will put us in a leading position in 2 segments; safety and performance management, and I'll come back to that in more detail. But first, Danelec is a Danish company based in Farum with an installed base of 15,500 ships and 168 employees. It has delivered EUR 44 million between June or July '23 and June '24. And with a service network of 700 certified technicians, external partners, these are not employees, around the globe and positioned in the main operations -- hub of operations around the world. We are really getting a global footprint, getting very closer to our customers to serve them in the best way possible. So Danelec operates in 2 segments; safety, representing 64% of the revenues that is represented mainly by this very important device, a critical device that is mandatory on the large portion of the ships that records the say, safety information, especially in case of an incident and Danelec has a leading position, especially in the retrofit segment. That goes with or comes with an annual service that we call recurrent because it is recurrent actually, as it is mandatory, again. That is actually a test performance, a yearly test performance for each device. The second segment is performance, representing 31% of the revenue of this activity, represented mainly by another key device, shaft power meter, which is very important for the performance management of a ship and software that is a growing activity within Danelec and that we complement very well with Ascenz Marorka solutions and the recurrent revenue represent 30% as of today. With this acquisition, we also believe strongly that the combination of Ascenz Marorka, VPS and Danelec will unlock significant synergies. And here we try in this chart to highlight a few of them, especially the revenue synergies. So if we take them one by one, in ship performance, we believe that the solution that we have developed through the years under the leadership of GTT and the support of GTT will fit very well Danelec customer base. That, if you remember, represent 15,500 ships. Same goes with our voyage optimization solution that is gaining momentum in the market, and that will be a very good complement to the portfolio we can deploy over Danelec customer base. Regarding the sensors, VRS, which is a data collection system and the shaft power meter that collects data that is very important and relevant for ship performance management, this will fit very well in our solutions, giving us an opportunity to upsell our solutions within our customer base. Last but not least, the VDR, which is a key component and solution within Danelec ecosystem give us a very close relation with thousands of customers to build trustworthy or trust relationship with them and again, upsell or cross-sell our solutions within the customer base. I leave the floor to Thierry, who will talk to you about the strategy and LLM.
Thierry Hochoa: Thank you, Antoine. Good morning, everyone. Now let's focus on Elogen. You know that we announced at the beginning of this year a strategic review for the activity of Elogen to consider the market lag and to consider the absence of significant orders for Elogen in 2024. This strategic review confirm the need to reshape Elogen's business model to limit cash burn and focus on what makes the company truly competitive, it's R&D capabilities and proprietary technology. As part of this refocus, Elogen is concentrating on the production of high-power stacks using the existing capacity at Les Ulis close to Paris. So regarding the measures or the status of measures announced at the beginning of this year. First, information and consultation procedures with employee representative bodies were completed early July. It means that we can start the workforce reduction by 110 positions. The second element is the Gigafactory in Vendôme. The construction of Gigafactory has been definitely stopped. And regarding subsidies, discussion with French authorities are in progress, and we expect a favorable outcome in the coming weeks. As a consequence, at the end of June 2025, we booked EUR 45 million for the restructuration of Elogen for mainly asset write-off of Gigafactory, as well as costs linked to the decommissioning of the building and indemnities granted to construction companies. And you have as well a provision for the workforce reduction plan. Regarding the figures for the business, you can see that on screen for the turnover, the revenues for the H1 2025 is amounted to EUR 2.5 million and EBITDA at minus EUR 9.2 million. Now let's move to the financial part of the presentation. As you can see, our core business order book reached 308 units at the end of June 2025 for value at EUR 1.7 billion of revenues. This order book means strong visibility for GTT in the coming years, as mentioned in the graph at the bottom right, where you can see the consumption and flows of our backlog in the years to come in terms of revenue. Now moving on to more details on revenues per activity at the end of the first half of 2025. Total revenues at EUR 389 million, are up 32% compared to H1 2024, driven by newbuilds standing at EUR 365 million, meaning plus 35% and benefiting from a higher number of LNG carriers under construction in H1 2025. Driven by electrolysers revenues are down and stands at EUR 2.5 million, as Let's continue with the other main aggregates of the P&L and in particularly EBITDA and EBIT. You can see the impressive increase which increased its revenue by 36% at EUR 9.4 million at the end of June 2025. Please note that here, you do not have any figures from Danelec because the closing has not yet done as of today. And finally, revenues from services increased by 11% at EUR 12 million, thanks to development of certifications and services to vessels in operations. by plus 49% for both compared to H1 2024. This is mainly explained by the increase of revenues from GTT's main activity, mainly explained by the absence of significant delays in ships construction schedules and mainly explained by a close monitoring of our costs. As a consequence, the EBITDA margin amounts to 68% in H1 2025 compared to 60% in H1 2024. One or 2 additional comments regarding our CapEx investments and the free cash flow. Our CapEx investments at EUR 25 million include the rehabilitation of our buildings, of our headquarters, R&D program as well and the new minority stakes within the framework of our GTT venture capital with novoMOF. And regarding our free cash flow at EUR 208 million, which significantly increased by plus 64% compared to last year. I think that this is a solid first half of GTT. I now hand the floor back to Philippe for the outlook.
Philippe Berterottiere: Thank you very much, Thierry. So our outlook for 2025. We maintain our revenue guidance with consolidated revenue estimated in the range of EUR 750 million to EUR 800 million. For our EBITDA, our EBITDA for 2025 should be in the range of EUR 490 million to EUR 540 million. And for our dividend, we maintain our payout ratio of at least 80%. Of course, all these figures are subject to shareholders' meeting approval and are before the acquisition of Danelec. Now we are available to answer to your questions.
Operator: [Operator Instructions].
Jean-Luc Romain: Jean-Luc Romain, CIC Market Solutions. Two questions. You mentioned the LNG industry is puzzled by the willingness of the United States to have LNG carriers built domestically. Do you see any shipyards that could be able with maybe lots of assistance to do this? That's the first question. And second question is on Elogen. What kind of power for -- you mentioned increased power for your stacks in a less competitive area, what kind of power are you envisaging for the future Elogen contracts?
Philippe Berterottiere: Well, for the U.S.-built contracts, this is something that the current shipyards are looking. Probably they are going to be able to obtain a progressive way where their ships will be at the beginning, largely built in the U.S. and progressively more and more built in the U.S. So it's something which is currently discussed. Obviously, the U.S. -- the Americans are very pragmatic people. They do know that in order to export LNG from the facilities they need ships. They would like to have to revive the American shipbuilding industry. That cannot be done overnight, so that will be done progressively. So let's see that. We are discussing with the various parties in order to be -- to provide our support in this effort. In your second question, once you pass the 5 megawatts, 10 megawatts threshold, the number of companies which are able to provide electrolysis with such power are much more limited. We think we have always thought that technology we had was a very attractive one. We can now offer these powerful stacks. And what we aim at is selling these electrolyzers without generating losses. We think that it's something which is achievable. And we are going to pay a lot of attention to the execution of these contracts.
Kevin Roger: Kevin Roger from Kepler Cheuvreux. Two questions, if I may. The first one is on the commercial dynamic on the LNG cargo side. H1 order intake has been relatively muted, but you mentioned that the level of FID on the LNG market has been quite high with 38 million tons, et cetera, of projects being sanctioned. So when do you expect those orders to come? And broadly speaking, what are your maybe expectations for the H2 commercial dynamic on the LNG cargo side? And the second question is on the full year guidance. You confirm the guidance, but making a stupid in a way math's taking the H1 EBITDA and replicating it in H2, you are already in the high end of the range, close to EUR 530 million, so just trying to understand what in a way, push you to keep the low end of the guidance on the EBITDA side, please?
Philippe Berterottiere: Well, on the H1 orders, you may say that the orders have not been at a level that you would have expected. I would say that it's hard to analyze the evolution of the market on such a short time period. And we -- many things are at work in this part of this year, by the relaunch of the FID, which is very positive for GTT in the midterm, but also this willingness of the new American administration to have LNG carriers built in the U.S. and also the implementation of taxes on Chinese-built ships whenever they are calling American harbors. So owners would like to better understand this overall context and how they can cope with that through partly American built shapes, current built shapes, whether through the negotiations between the U.S. and China. There could be an accommodation to these tax regimes. So they just wait for clarifications on all these changes which have happened in the LNG industry. The fact of the matter is that this -- beginning of this year has been absolutely decisive for new LNG projects and once more insist on the decision this weekend on tariffs between Europe and the U.S. So there is a very strong momentum and once this very specific issue on LNG carrier is addressed, I'm pretty sure that the flow of orders will start.
Thierry Hochoa: Regarding your second part of your question and the guidance. You know that we factor every year in our guidance delays, potential delays in ship construction schedules. And definitely, we do not expect any significant delays, but we are very cautious regarding our approach of our guidance and we will keep this approach. And if we need to revise this guidance, we will do it perhaps in Q3 or in Q4, but not before, just that because we have -- we need to have time for that and to anticipate these delays in the future.
Thierry Valot: I think we also have some questions over the phone.
Philippe Berterottiere: There are still questions in the room here. Mr. Delaby would like to have a mic.
Guillaume Delaby: I just would like to come back to the EU U.S. agreement. So I guess you prepared this presentation last week. We all know the agreement which has been announced and the commitment by the EU to purchase up to EUR 750 billion energy purchases over the next 3 years. So this may translate into 55 additional MTPA. So 2 questions. Is this possibly feasible over the next 3 years? And second, maybe qualitatively, if -- could you maybe tell us what is your feeling, I would say, today versus what could have been your feeling, I would say, Saturday night before this announcement. So in other way, is your bullish view is even more bullish and if yes, by how much in qualitative term?
Philippe Berterottiere: Well, the feasibility is something quite important effectively. But it depends what you mean in purchasing. We see the SPA, which have taken place in the first part of this year. And these SPAs are for projects which are going to be operational in 2029, 2030, 2031. So Europeans and European companies because that's not the union which is buying LNG, that's companies. European companies may buy $750 billion of over the past -- over the next 3 years. But this LNG most certainly will be delivered either by the very end of this decade or by the beginning of the next decade. And that means that other sources of gas will have to reduce their share. So it may be Russian gas. It may be some other sources in the Middle East, in North Africa or in other places. So -- and it does not particularly mean, in fact, that at the end of the day, this LNG will be burned in Europe, because thanks to very flexible ships, LNG can be delivered in Europe or in other places. So what we have to see there is that it's a very strong supportive factor for new investment decisions to be taken in the U.S. And the feasibility of that depends very much on the time frame. And in particular, in the next 3 years, I think it's signature of SPAs and deliveries will happen at the beginning of the next decade. So more -- we have always been bullish on LNG. We are -- we don't want to appear unreasonable or overexcited. We are reasonable people and cautious but we have always been very bullish because this industry is existing. It's delivering an energy which is cheaper than many other energy. When you look at the megawatt per hour prices in Europe it's hard to beat gas. And it also allow us to reduce significantly the CO2 emissions compared to other energies. So it has a lot of merit. So we have always been bullish. Now we can see a very aggressive policy put in place in the U.S. Maybe it's compensating what has taken place, what has happened in the U.S. in the last part of the previous American administration. Let's look at the long term. We do think that LNG will continue to grow and will continue to help the planet to work and to reduce its emissions. Next question?
Unidentified Company Representative: So we also have questions coming from the phone line. Operator, can we please take the first question?
Operator: Sure. The first question is from Guilherme Levy of Morgan Stanley.
Guilherme Levy: I have 2, please. The first one, just on your Elogen expense. How should we expect the disbursement of cash? Is that fully expected to be done this year or this part of it also slip into 2026? And then perhaps if you can provide us an update on the Danelec acquisition, just if you have additional color in terms of timing for completion and also when we start to think about synergies, how quickly do you expect them to play out?
Thierry Hochoa: I will take the first one. Do you hear me? Yes. Sorry. I would take the first one regarding Elogen. Yes, you have EUR 45 million of cost or impact in our P&L and you -- not all elements are cash because you have asset write-off for EUR 22 million, is not a cash impact, but just a write-off and P&L impact. And you will have some elements with the cash impact mainly the workforce cost -- workforce reduction plan and some penalties or indemnities that we need to pay to the construction companies for this -- the stop or the halt of the Gigafactory construction. That's the main one. And we do not expect any additional cost -- significant cost at the end of this year.
Philippe Berterottiere: The synergies, we have not yet closed the Danelec acquisition. And once it's done, we will work on the detail of the synergies we are expecting and we are going to communicate that to you as quickly as possible after closing.
Unidentified Company Representative: So we have a next question coming from the call. Operator, can you please announce the next question?
Operator: The next question is from Richard Dawson of Berenberg.
Richard George Dawson: Just a follow-up there on the Danelec acquisition. Do you have any clarity on how it will be financed? I think last time we spoke, it was still being decided whether it be cash or whether it be some element of debt. And then on the Elogen strategy, when you look to the future and you look at the high-powered electrolysers, which you're going to develop, when do you think that can potentially become profitable? Is this more sort of a 2030 story or could we start to see some profits maybe this side of 2030?
Thierry Hochoa: I will take the first one, Philippe. Yes, regarding the acquisition of Danelec, the price is EUR 194 million. And we have a simple debt with a bank for EUR 120 million and the rest EUR 74 million will be financed with our cash.
Philippe Berterottiere: We -- on Elogen and the timing of the recovery, we can see that there is a demand now for these large powerful electrolysers. And we think that this demand will keep on increasing over the next years as, in particular, there is a need for issues. You can see that in the aviation industry, but you can begin to see that also through regulations in the maritime industry. So we think that it will increase. We want to really target this upper end of the market with once more at least balanced activity in this significantly reduced scope. Next question?
Unidentified Company Representative: Operator, we can take the last question from the call.
Operator: The next question is from Jean-Francois Granjon of ODDO.
Jean-Francois Granjon: Yes. Jean-Francois Granjon speaking from ODDO BHF, 2 questions. I just want to come back on the Danelec acquisition. Do you have a view regarding the closing for the acquisitions? And do you expect to include one part of Danelec during the second half or next year? And the second question was on Elogen. So after the losses at minus EUR 9 million EBITDA is for the first half, what do you expect -- do you expect to reduce this level during the second half or next year?
Philippe Berterottiere: On Danelec, yes, we expect a closing very soon. And we are going to obviously add the figures on the period since we acquired Danelec to our figures. So that will be done more certainly in the second part, and quite rightly at the occasion of our communication for the third quarter of this year. On Elogen, I will leave Thierry to answer to you.
Thierry Hochoa: Yes, Jean-Francois, you know that we do not provide any individual guidance per activity. But we can say that last year, the EBITDA level was minus EUR 33 million. We expect to reduce drastically these losses in 2025 and 2026 definitely.
Unidentified Company Representative: Do we have any last questions from the room? If not, then Philippe, I'll hand over back to you.
Philippe Berterottiere: I would like to thank you very much to have joined us for this occasion. We are pretty happy and also proud to have delivered such results in this context, which is both complicated and complex and also quite promising. So let's meet together very soon. Thank you very much. Have a good day.